Michael Hazell: Good morning, everybody, and welcome to Saga's results for the 6 months ended 31st of July 2025. My name is Mike Hazell, and I'm the group CEO, and I'm joined today by our Group CFO, Mark Watkins. I'll kick off with an overview of our first half performance. And then Mark will take you through the financials in detail. Finally, I'll provide a brief update on our strategy before we open for questions at the end. I'm pleased to report we've had a strong first half with a performance ahead of our expectations. We've seen first half revenues increase, profits perform ahead of our expectations and a significant reduction in net debt. Underpinning this performance was the continued momentum we are seeing in travel. Alongside a strong trading performance, we've also continued to deliver the strategic actions that we previously laid out. We completed our refinancing in February, putting in place a new 2031 corporate debt facility and repaying our 2026 bond maturity and the Roger De Haan loan facility. To support the delivery of our next phase of our strategy, we have reorganized our management team. The new leadership team in place across insurance and travel now in place. In July, we successfully completed the sale of our underwriting business with cash proceeds GBP 17 million ahead of our forecast, and we're making good progress on the preparations for the launches of both our Ageas and NatWest Boxed partnerships later this year. In doing so, we're making rapid progress towards a less complex, lower-risk business model with more predictable earnings that will allow us to focus on our core strengths of customer insight, marketing and data in support of our medium-term growth plans, particularly in travel. To that end, we were delighted to launch the latest addition to our river fleet earlier this year, responding to the demand we are seeing for our boutique cruising offer. I was on board the Spirit of the Moselle last month, and she's an amazing ship. Taken together, as we go through this morning, you will see clear progress being made on both underlying trading performance and our strategic execution plans. This gives me even greater confidence with regard to the GBP 100 million profit target we laid out in April. On this slide, I've highlighted some of our key trading metrics. I'm not going to speak to every line, but you can see even at a glance, the strength of our trading performance across travel and insurance and the foundations we have put in place for money, all of which set us up well for future growth. I'll now hand to Mark to go through our financial results in more detail.
Mark Watkins: Thanks, Mike. Good morning, everyone. It's a pleasure to be here today. I'll spend the next few minutes covering the detail of the financial results before covering the outlook for the remainder of the year. Saga had a really good start to the year, delivering a strong financial performance in the first half, largely driven by our travel businesses and insurance broking. Underlying revenue, which excludes some accounting adjustments and one-off items, increased by 7% from the prior period. Underlying PBT from continuing operations of GBP 23.5 million is marginally behind the prior period, but importantly, is ahead of our expectations. This was largely driven by the continued growth in our travel businesses and an improved performance in insurance broking, offset by higher finance costs. This was expected due to the successful refinancing at the beginning of the year. The group continued to be highly cash generative in the first half with available operating cash flow of GBP 89.4 million in the period, a 64% increase. This does reflect some seasonal strength, which I'll touch on again in a moment. Net debt reduction continued, and the position at the 31st of July was GBP 515.1 million, GBP 102.1 million lower than 31st of July '24 and GBP 77.7 million lower than at the year-end. Alongside strong trading EBITDA growth, which grew 8%, this supported further deleveraging with a total leverage ratio now at 4.3x compared with 4.8x at the same point in the prior year. I'll now focus on the headline underlying profit contribution from each of our business units. Our Travel businesses continued to generate strong customer demand, delivering GBP 41.6 million of underlying PBT in the first half, a 33% increase on the year before. Our Insurance Broking business performed well in the first half. Despite the anticipated decline in earnings, performance was ahead of our expectations. The standout performance of this business is that after a number of years of decline, policy volumes for motor, travel and our private medical insurance have returned to growth. Other businesses and central costs marginally increased due to lower investment income as the group now holds a lower level of cash than it previously did. The result of this is that underlying profit before tax increased from GBP 27.2 million in the prior year to GBP 38.7 million. Insurance underwriting is now classified as discontinued, but the strong performance in the first half supported our ability to capture an additional GBP 17 million of cash from the sale, which completed on the 1st of July. I'll now spend some time covering each of our core businesses in a bit more detail, and I'll start with ocean cruise. Our Ocean Cruise business had an exceptional start to the year, growing underlying PBT by 23% and continuing to show extremely strong forward bookings. Revenue grew 8%, supported by an increased load factor and per diems. The load factor in the first 6 months of the year was 94%, which compares with 90% last year, and the per diems worth GBP 391, 8% higher than the year before. Underlying PBT of GBP 34.5 million was 23% higher than the prior period supported by cost discipline and lower finance costs. The lower finance costs reflect the continued repayment of the cruise facilities. This has now reduced to GBP 55.6 million per year due to the repayment of the first COVID deferral loan. Looking ahead to the full year, the booked load factor and per diems are very strong, currently 2 percentage points and 10% ahead of the same time in the prior year, respectively. For the '26-'27 season, the booked load factor is 3 percentage points ahead with the same time last year with the per diems continuing to increase at 13% ahead. Now turning to our River Cruise. In the first half, we successfully launched the Spirit of the Moselle, our third Spirit Class rivership. The timing of this launch meant we operated with marginally lower capacity in the period, driving revenue to be flat against the prior period. The 93% load factor in the first half was 7 percentage points higher than the last year and the per diem of GBP 364 was 7% higher, reflecting the strong demand for our river cruises. This supported growth in underlying PBT of 34% from GBP 2.9 million in the prior year to GBP 3.9 million. Bookings for the full year are strong and currently reflect a load factor of 87%. The per diems of GBP 351 is ahead of the same time last year, albeit lower than H1, reflecting expected seasonality. Bookings for next year are also in a good position with strong load factors maintained alongside growing per diems. Turning now to our holidays business. Revenue grew 14% against the prior year, supported by a 13% increase in the number of passengers traveling with us. Underlying profitability was also strongly ahead at GBP 3.2 million against only GBP 0.3 million in the prior period. This serves to validate our step-up in the level of marketing to support bookings. As you'll see from this slide, revenue growth is set to continue into the second half of the year, with current full year booked revenue 14% ahead of the prior year, with passengers 12% ahead. The team are now focusing their attention on driving demand for next year's bookings. Insurance Broking also showed an improved performance in the first half, generating underlying PBT of GBP 8.9 million. This performance supported an increased investment in policy growth ahead of the Ageas partnership with 3 of our 4 main products, after many years of decline, returning to growth. Motor grew by 26,000 policies and the combination of PMI and travel grew by 5,000. This investment is expected to continue into the second half, further driving policy volumes ahead of the go-live date with Ageas. The graph on the left-hand side shows the material drivers of the movements in underlying PBT. The motor contribution before overheads decreased by GBP 0.6 million, driven by higher renewal margins, particularly for 3-year fixed-price policies as market-wide net rates reduced, offset by higher investment into volumes. Home is the most significant driver of the overall decline with a GBP 6.2 million lower contribution as net rate inflation, which was more pronounced within our panel, led to a reduced competitiveness and 19% fewer policy sales. Private Medical Insurance benefited from lower net rate inflation together with the GBP 2.6 million profit share from the Bupa partnership. Travel insurance remained broadly flat with policy volumes growing in the period. Our insurance underwriting business, AICL, was sold to Ageas on the 1st of July and therefore is treated as discontinued throughout these results. As you can see, AICL performed strongly prior to disposal generating an underlying PBT of GBP 15.6 million. This supported our ability to generate an additional GBP 17 million of net cash from the disposal with AICL paying a GBP 10 million pre-completion dividend and there being a GBP 7 million positive adjustment through the completion mechanism. We received GBP 57.9 million on the completion date, representing 90% of the proceeds, with the remaining 10% due in October. There remains a further GBP 2.5 million payable on the go-live of the partnership. Debt reduction is a clear strategic priority for Saga, and I'm pleased with the progress made in the period. During the first half of the year, net debt reduced by GBP 77.7 million to GBP 515.1 million, with a leverage ratio of 4.3x also below the year-end level of 4.4x. Available operating cash flow for the first 6 months was GBP 89.4 million, 64.3% higher than the last year. This was driven by a step forward in cash generation from all of our businesses together with the GBP 10 million dividend paid by underwriting. Debt service costs have increased due to the HBS refinancing, which was drawn in February this year and restructuring costs have increased due to the AICL disposal and the Ageas partnership. While the cash generation is strong in the first half, it does include some positive seasonality from both the Ocean Cruise and Insurance Broking business. These are benefiting from positive working capital positions with Ocean holding a high level of customer advance receipts and policy growth in Insurance Broking also benefiting cash. So let's now turn our attention to the full year. Bookings for the full year in cruise are strong. We do, however, expect profitability in the second half to be marginally lower than the first, purely due to the normal seasonality within that business. The peak trading months for our Holidays business are typically August to October. And as a result, we expect the underlying profitability will be materially higher in H2 as we benefit from economies of scale and operational leverage. In Insurance Broking, we expect the trends that we saw towards the end of the first half of the year to continue for the second half, but a step-up in investment in the second half means that profitability will be lower than the first. What this all means for the group is that the momentum we have seen in the first half gives us confidence to move our guidance for the full year. We now expect the full year underlying PBT to be in line with the prior year and importantly, our net debt leverage ratio to be below that of the prior year. And with that, I'll hand back to Mike for an update on strategic progress.
Michael Hazell: Thanks, Mark. Now I'm going to take you through more detail on the delivery of our strategic priorities and our growing confidence that we are paving the way for long-term sustainable growth. Underpinning everything we do is our brand and customer insight, so it's worth a moment to remind you how that makes us different. Saga is one of the best-known and most trusted brands in the U.K. This is built on our deep understanding of our target customer and our extensive customer database, which together provide us with a competitive advantage that sets us apart from our competitors. Nobody understands older people better than us. And we have more than 70 years of experience designing products and services exclusively for them. We know who they are, we know what they like and we know how best to communicate directly with them. This means that in the growing attractive and affluent market for people aged over 50, we are ideally placed to succeed. Our businesses leverage these advantages through a series of consistent principles that I have shown on the screen. With the customer at the heart of our strategy, we will deliver quality and value through a suite of differentiated unique products uniquely tailored for our customer group using the insight we have developed over decades of experience, all supported by our powerful marketing and publishing channels that drive deep customer engagement. Since joining Saga, I've redoubled our focus on these principles, all of which are now central to our growth. In April, we laid out our medium-term profit target of GBP 100 million and a leverage ratio of less than 2x by January 2030. A strong first half performance gives us even greater confidence in these targets and our time line to achieve them. Our four strategic priorities laid out the routes by which we would deliver these targets, and we continue to make good progress on each of them, progress that will be obvious as I now touch on each business. Travel is now the largest contributor to Saga's profits. In March, we announced that we had combined the leadership and operations of our previously separate Cruise and Holidays businesses under the leadership of Nigel Blanks, previously CEO of our Cruise division. No longer operating in silos, a single management team ensures consistent, excellent customer experience and a coherent marketing strategy across both Cruise and all of our Holidays. Best practice is shared across the different product lines and customers are more easily introduced to a wider range of holiday options for their next experience. Saga has been taking older people on holiday since 1951, and we are the experts in catering for their needs. Our customers are time rich and have money to spend. They like to travel outside of peak season, enjoying quieter destinations, sometimes though quite adventurous ones. What unites them all is that they know Saga can offer, when needed, a little more support than our peers to ensure they can really make the most of their holiday. We take our customers to places they might not otherwise go, tailoring the experience to meet their needs. We open the world to them and allow them to enjoy traveling for longer. By understanding these needs, we create holidays exclusively designed for this age group catering for them in a way that the mass market can't. By playing to our strengths, we separate ourselves from our competitors and all of our travel businesses are now growing as a result. Ocean Cruise remains at the heart of Saga's travel offer with its enduring popularity only getting stronger. Forward bookings remain strong and repeat bookings are consistently high. This performance is down to the quality of our product and our relentless focus on our guests. Tailor-made for our customers, built on decades of cruising experience, our customer satisfaction and TMPS scores are market-leading. Our 2 ships provide a tailored luxury experience within a boutique cruise environment, setting us apart from the mainstream providers or the mega ships, which constitute the wider market. Smaller and easier to navigate, our specialty designed ships provide a tailored experience for our customers' holiday from our nationwide chauffeur car pickup service at the start of their holiday to the number of single cabins we have catering for solo travelers, to the quality of service and hospitality onboard. We continually look to improve and refresh our proposition across dining, trips and entertainment. You can see on the screen a picture of our newly launched French restaurant, aboard the Spirit of Discovery. Refined but contemporary, it offers a fantastic dining experience and is proving extremely popular with our guests. We aim to do things differently catering for our distinct customer base. And in doing so, we generate strong demand for our product and loyalty to our brand. That demand is driving high load factors, more early bookings and increased per diems, the amount of customers pay per day, as our need to discount reduces. But importantly, our customers still recognize the great value for money they are getting. This is a trend we are confident will continue as we carry on giving customers what only Saga knows how to do. River cruise holidays are perfect for our customers, sitting between our active land-based touring options and our no-fly hassle-free ocean cruise experiences, River cruising offers a gentle river-based touring option without the need for lengthy coach journeys and multiple changes in hotel. Customers wake up each day at an exciting new destination. We moved our River Cruise business under the leadership of the Ocean Cruise team earlier this year -- sorry, several years ago and have been aligning the service experience across the 2 propositions. As you can see from the page, the results have been very successful, with load factors, per diems and customer satisfaction all performing very well. Building on this success, we're adding more ships. And this summer, launched our newest vessel, the Spirit of the Moselle. This is an outstanding contemporary ship, especially designed by us for our customers. Its sleek exteriors and modern interior design is already proving incredibly popular with our customers, demonstrating the opportunity we have to scale up our river cruise business. Our next river ship is already in development and due to launch in summer 2027 as part of our ongoing growth ambition for this part of our business. Our cruise performance has somewhat out-shown our holidays business in recent years, but we've been making great progress there, too. And there are clear opportunities to build on this under our new leadership structure. At Saga, we offer holiday options that meet customers' needs whatever their age. We tend to find a younger, more active customer attracted to our land-based touring holidays, often as a gateway to a more relaxed river cruise in the future. Other customers look to enjoy a hotel stay at an interesting destination through one of our specially selected hotel stays, complete with Saga host on site to make sure they get the most out of their holiday. Whatever their choice, we understand that older customers are drawn to different aspects of travel to those generally catered for by the mass market. With more time available to them, older customers will typically choose to stay a little longer to more deeply experience the destination they are visiting. They're interested in understanding the language, enjoying local cuisine and visiting culturally significant sites. Beaches and swimming pools are nice, but our customers would typically prefer a nice meal overlooking amazing scenery without the sound of children splashing around behind them. Our holidays offer had over time become a little too generic, missing this opportunity to fully play to the differing demands of our customers, something that our cruise businesses have been doing brilliantly. Now under the leadership of Nigel Blanks, previously CEO of our Cruise division, we are bringing the focus more squarely back on our customers and differentiated experiences tailored for them. Recognizing the type of holidays our customers want, we are expanding our range of special interest holidays, think bird watching, food and wine, history, archeology and so on. It's early days. But as you can see, this refocus, which will take a while to fully flow through to our program, has already started to work. Revenues and profits are continuing to grow from an already strong performance last year and satisfaction levels have materially improved. Customers tell us they love our nationwide chauffeur car service and so from April, our chauffeur service will be included in all Saga Holidays as standard, meaning that whatever their holiday choice, the Saga experience starts from the moment they leave their house. Our insurance business is in a transitional year, as we prepare for our Ageas partnership. Nonetheless, we've made significant steps forward towards our new simplified lower-risk operating model and traded well in the meantime. Under the new leadership team we put in place earlier this year, led by Lloyd East. We've been investing in price and marketing to support long-term growth and prepare us for the Ageas partnership. And the results have been strong. Three out of our 4 policy lines are now growing after several years of decline and our customer satisfaction scores reflect the refocus on customer that Lloyd and his team are bringing. Much credit goes to our insurance colleagues for Saga's Insurance business being ranked in the top 50 organizations for customer satisfaction by the Institute of Customer Service, only 1 of 2 insurers to be named in that group. Preparations for our Ageas partnership have continued at pace, as we work towards a significantly simplified lower risk insurance business model. We completed the sale of our underwriting business in July, meaning that Saga is no longer exposed to underwriting risk, and we will transition a large part of our broking operations to Ageas later this year as we go live with that home and motor partnership. I'm particularly excited about how new products and services can drive future growth. In particular, we are focused on creating more ways to engage on a deeper level with our customers more frequently. Take our money business, for example, the partnership we signed with NatWest earlier this year is exciting in its own right, given that we are expanding our suite of differentiated products. But more than this, it's symbolic of how we could pursue additional innovative partnerships across different business lines in the future. Elsewhere, we've already been deepening our customer relationships with lesser-known products within the Saga portfolio. For example, our Saga wine club, Vintage by Saga, with more than 10,000 customers regularly buying wine from us. Similarly, our Saga Connections introductions service for older people engages with 13,000 subscribers checking their connections on the website multiple times a week, significantly increasing their exposure to Saga and our wider product set. These are great ways for us to remain front of mind with customers beyond their annual holiday or insurance renewal. While our primary focus remains on our core travel and insurance propositions, you can see the obvious crossover from those businesses to these types of additional service. So there are undoubtedly opportunities to cross-pollinate and build on areas like this that amplify our customers' engagement with Saga. Our publishing business lies at the heart of our customer engagement strategy. Celebrating the lifestyles of older people, it provides deep and regular engagement with our target customer group and in a digital world is increasingly a powerful source of insight into what is on their minds and what attracts their interest. As you can see from this page, comprising our award-winning magazine, newsletters, website and online articles, it's a fantastic aspirational communication channel, positively portraying the lifestyles and interests of older people. This month's magazine encapsulates that perfectly. You will have seen coverage of our interview with Pierce Brosnan and Helen Mirren right across the mainstream press. And in every instance, crediting Saga Magazine in the reporting. And we have a real opportunity to build on this amazing content, given the early success we are seeing across our digital channels and platforms. Our print magazine is already the largest paid subscription magazine in the U.K. By servicing this content on our website and refreshing it regularly, we're now driving highly engaged customers into the heart of our business, where they spend more time and come back again to see what else we've got to say. They sign up for more content, allowing us to then communicate with them more broadly. We're now seeing 1.3 million monthly visits to our magazine website, 37% of which are new to Saga and these numbers are growing every month. Building on this brilliant content, we're sending around 10 million newsletters each month, covering anything from lifestyle tips to personal finance matters and seeing opening rates of up to 49%, a clear indication of the quality and relevance of that content. By refreshing our website, both our Saga homepage and the magazine side, we are driving traffic into the Saga environment, exposing customers to individual businesses and the messaging while they browse. You should recognize this slide from April where Mark and I laid out our medium-term targets. So I wanted to update you on our progress. We previously guided that UPBT for '25-'26 would be lower than that of '24-'25, largely due to the increase in finance costs. You will have seen from Mark's slide that as a result of our strong first half performance, we now expect UPBT to be in line with '24-'25. Trading EBITDA is now expected to be ahead of '24-'25 demonstrating the strong trading momentum that we've seen. And with leverage falling, we now expect year-end to be below that of '24-'25. So while it's too early to update any medium-term projections, we have clearly made a strong start and are ahead of where we expected to be this year giving us even greater confidence as to the level and timing of those medium-term targets. Finally to wrap up before we move to questions: We've made significant progress in the first 6 months of this year. We've delivered a strong financial performance, particularly in travel, and we have significantly reduced our debt. Alongside this, we've achieved some significant strategic milestones toward our more customer-focused, simplified business model going forward. That puts us in a great position as we head towards the full year. Looking ahead, we expect to go-live with our Ageas partnership in Q4 2025, beckoning the start of a significantly less complex and lower-risk insurance model for us next year. We will continue to build on the momentum we are seeing across our travel businesses, leveraging the benefits we are now seeing from the combined operations that we've put in place. And we'll go-live with our NatWest Box partnership at the end of this year, which will start us down the path of engaging customers in more differentiated products and services beyond our travel and insurance offerings. In short, we'll keep delivering on what we said we would do. We'll now go to Q&A, taking questions in the room before moving online.
Timothy Barrett: Tim Barrett from Deutsche Numis. I had a couple of things, please. A question on Ocean Cruise. Could you give us an idea on how we should benchmark your performance there? And specifically, GBP 437 on the forward book looks really impressive, just wondering how you would encourage us to think about next year as a whole? And then interested in what you said about the database. Could you talk about scaling that and what size it is? I guess, how the database is growing? That would be great.
Michael Hazell: Sure. So taking the ocean point first. So what we're seeing on ocean is really strong load factor growth and performance. Clearly, that's been growing year after year. We're getting to the point now where we're well into the 90%. What that translates into is a very powerful performance in per diems. The per diem growth is coming from a combination of the demand and people competing to get on to their favorite ship and their favorite cabin and their favorite holiday. But we're also seeing that translating into earlier bookings which means we then didn't need to discount less to drive that demand. So that, together with improving the itineraries, improving the onboard experience, improving the onshore excursions, all of those things add greater value, which drives that per diem growth. So as we now get to the point where it's pretty clear that there's only so far you can take a load factor growth, it will continue to grow a bit. But actually, the growth opportunity from here is continuing to add more value, discount less and drive that per diem growth. So very confident that now we've got the load factors in that sweet spot that per diem growth will now continue through a combination of demand management, less discounting and adding more value as the proposition improves year after year after year. So that's the way to think about per diems. In terms of our database, we've got the largest database for older people in the country, we've got 9.7 million people on that database. It's a really powerful insight tool. We've got contact details and can communicate to 7.7 million of those customers. So you can think of it, first and foremost, in 2 aspects. The power of that database to enable us to understand older people and curate our product proposition for those customers, whether it be on holidays, insurance or anything else, that is a really powerful tool for us, made even more powerful by our publishing business, whereby we can talk to them post articles, if you want to know who might be interested in pet products, send out a newsletter with a pet article and see who opens it. You'll then very quickly understand what resonates with those customer groups. You'll then understand who's got a dog. But we're actually getting even cleverer. With the benefit of AI now what we've been able to do is back, what's the word I'm looking for, tag all of our historic articles to get a better understanding of what type of article works for what type of customers. So it's not just about was it an article about dogs or was it an article about cats and so on. But actually, some customers respond better to a top 10 list of X, other like an interview style article. So what we can do is both, understand more about the customers and what they're engaging with in that publishing business and then curate and tailor our articles going forward to make sense of that. All with a view of a virtuous circle us communicating with our customers and then learning more about those customers in the process. Obviously, the other side of that is, it's a very powerful marketing tool off the back of that. So we've got the insight on the one hand, but we've got 7.7 million customers that we can communicate with about the products that we offer. So it is something that we're driving hard. What we have done more recently, and I touched in my presentation is, we're starting to make our Saga homepage a destination for customers online, putting brilliant publishing content on there, so that customers are seeing the content somewhere in the web, in the newsletter or simply because they've come to Saga. They see the brilliant content and then they come back the next day or even later in the day to see what else we might be saying because it talks to older people in a way that other people don't. Clearly, in surfacing, both on the homepage and then those articles, what we're able to do is flash up relevant product content alongside it to then drive those customers into our business units. So when I say we're bringing publishing to the heart of the business, it's not in an off-line way, it really is as an introduction into our business with that insight powering the products that we offer and the services we deliver alongside them.
Sahill Shan: Sahill here from Singer Capital Markets. Three questions from me, if that's okay. On the money side of the business, I appreciate it's relatively small at the moment. But you made progress in terms of partnerships. How should we be thinking about how that's likely to play out or you're planning to play out over the next few years or so? Just help me understand, I think there was a waterfall chart. And within them, was quite a decent chunk in terms of contribution going forward, the building blocks to actually get that kind of profitability going forward. So that's on the money side of things. Secondly, just more generically, clearly, you're doing fantastically well on the cruise business at the moment. Can you just help us understand and just give us an overview of the state of play of the cruise market at this moment in time, particularly the area that you're focusing on? And are there any competitive threats that we need to be thinking about? And finally, just ahead of the launch of the relationship with Ageas in Q4, how is that going in terms of the lead up to that particular launch? That would be really helpful.
Michael Hazell: Sure. So if I take the money business, and thanks for raising that because I think that's a really exciting opportunity for us. But you're right to call out the bar in that building block. It's there quite deliberately because we can see the opportunity that is a medium-term opportunity. The NatWest partnership goes live later this year. We've got around 180,000 customers engaging with our money products even today. But in the short term, it's not about driving profitability. It's about scaling up, driving engagement, talking to customers regularly for that wider Saga environment. But clearly, as we build that proposition over time, then the focus shifts from the early scaling up to then converting that into more profits and returns on that investment. So I'd encourage you to think about that as a long-term opportunity with a short-term scale up. In terms of the cruise market, look, I think it's dangerous right the way across our holidays proposition to think about the market rather than understanding that we do something different to the market, and that's what I'd encourage you to think about. Nobody is doing what we do. We've got 2 ships, and I said it in my presentation, that are tailored uniquely for older people, and we tailor our entire proposition for that market. When you look at the wider market, they are either in a mass market, larger scale cruising environment or they're operating outside of the ex U.K., i.e., you've got to fly cruise. Nobody is offering that, no fly boutique cruise experience to U.K. customers exclusive for people over 50 in the way that we do. So when we talk about what's the wider market? Actually, the wider market will have its own sort of ebbs and flows. What we are seeing for our customers is consistent and growing demand year after year for what we do brilliantly. In terms of competitive threats, I think that therein lies the answer. We do something different right the way across our holidays proposition, whether it be cruise, ocean crews, river or holidays. We win by being Saga, understanding older people better than anybody else and then curating products and services in a way that nobody else actually wants to because they're catering for a mass market, and you'll see that as we move into this new phase for Saga, where we've moved away from fixing the business, which we've been focused on for the last couple of years. This point around we do what Saga does, we understand older people better than anybody else and right the way through all of our product propositions and indeed anything new that we offer, you're going to see us, first and foremost, thinking about the customer how their needs are different and then playing that out. And therefore, when you think about that competitive advantage that brings, it's not so much about what the wider market is doing about what we can bring that is different to that wider market. And Ageas. So just to remind you on the Ageas for those that won't be close to it, really exciting opportunity, will transform our insurance business model. So it's a home and motor partnership where Ageas will bring the operations and the insurance infrastructure scale and investment as a first-class insurer in the U.K. After their acquisition of they will be in the top 3 U.K. insurers. They do that brilliantly. What we do brilliantly is understand older people market in a way that other people can't using our database and our experience of marketing to older people and help Ageas design products and services for those older customers. Put that together, you've got the perfect combination of Saga doing what it does brilliantly and Ageas is doing what it does brilliantly as a first-class insurer. So really exciting opportunity, but not just because of the overall opportunity to grow but also because it frees us up to focus on what we do best and allows Ageas to focus on what they do best. So in striking this partnership, we will and are rapidly implementing a much more simple and lower risk business model, whereby we no longer take underwriting risk. We completed the sale of our underwriter in July. And by the end of the year, we'll be live with the Ageas partnership, whereby they run the policy administrations, they run the back end, they run the infrastructure and so on and they have all the regulatory complexities that come with that, we will become a customer-focused marketing driver of that business and, therefore, be able to focus on what we do well. So as well as the growth opportunities, that simplification objective that frees us up to focus on what we do best is a really powerful aspect of that. So underwriting completed end of July, the wider partnership due to go live at the end of the year, and everything is on track. Any other questions in the room before we move to online? Any questions online, Chantel?
Unknown Attendee: Yes, a couple. Under holidays, how are the Saga and Titan brands being developed differently? And also, how is the destination mix changing under holidays?
Michael Hazell: Okay. Thank you for that question, whoever that came from. So yes, really, really important point. So we have the opportunity to win twice in holidays because we've got a brilliant Titan brand, which is an open-age holiday business, touring business, that's got great heritage in touring and then we have the wider Saga proposition that both does touring, holidays and obviously, our cruising business. But it's really important that we recognize those are two different businesses. And therefore, what we have been developing over the last couple of years and will continue to develop is differentiation across those two propositions because actually, in the past, we've been dangerously close to offering the same or similar experiences on Titan tour as you would a Saga tour. And going forward, we definitely want to separate the two out so that you get something different as a different type of customer for Saga as you would from Titan. So where you see Saga on the badge, you'll see all of the things that we curate for that older customer base that comes through in with the Saga customer. And then likewise, those customers that are looking for a complementary proposition that may be slightly younger and more active will engage with the Titan brand potentially as a feeder to engaging with Saga at a later stage when they see what the wider service and product proposition we can offer under the Saga banner looks like. So great opportunity. It's a complementary product set between the two. And in terms of destinations, look, we'll talk more about product development and proposition in the future as Nigel and the team get their feet under the desk. Our immediate focus on proposition has been to really double down on what our customers look for from a business that offers something different for older people. And that starts with special interest holidays. So as I said in my speech, older customers go on holiday for something different. They're not typically looking to go and lie on a beach or lie by a swimming pool. They're looking for something that engages their brain, maybe participate in their hobbies and just have a great experience beyond simply the pool side. So special interest is always something that we've offered, but we are increasing the range of special interest holidays and seeing increased demand for our special interest holidays. So we're seeing more people engaging with our special interest holidays quite a mouthful, but I'll keep saying it. And as we add in more special interest opportunities going forward or experiences going forward, then we're seeing increased demand as a result of that. So we're seeing more demand for what we've got, and we're driving more growth in that demand by adding in more.
Unknown Attendee: Okay. I've got a couple more. That's from Peel Hunt, from Ivon Jones. Say ocean cruise, how are the dry dock timings managed? And were the cruises impacted by the Middle East over the summer and what was the financial impact?
Michael Hazell: Okay. Taking the latter easily. We're not impacted by the Middle East disruption. The way to think about our ocean cruise is, it's a floating hotel, and therefore, we float wherever that we want to in any given year. So Middle East is not a big part of our itinerary. And therefore, we flex that itinerary every year to make sense of what we're seeing in the demand, but also the geopolitical environment. So actually a really flexible market for us. And despite all of the disruption in recent years, you've seen that we've gone from strength to shrink without any disruption there. In terms of dry dock timing. We had a dry dock in the first half of this year and we had the other ship, and I forget which way around it is, but the other ship had a dry dock in the second half of last year. And you'll see that just having a slight impact on the load factors in any given year. So that therefore, effectively, the dry docks are now out of the way, and I'm going to look at Nigel, this is why I bring the team here. The cycle for dry docks are every...
Nigel Blanks: It's effectively every -- we do 2 docking every 5 years, a wet dock and a dry dock. Wet dock clearly ships those in water, dry dock comes fully out, so that's what we do, our statutory and compliance work.
Michael Hazell: So it's a 5-year cycle. Was that the 2 questions? Great. Any other questions online?
Unknown Attendee: One more from Ivor. Travel marketing, how are they being deployed and how is that changing?
Michael Hazell: So there's a few things on travel marketing. Firstly, by combining the two travel businesses, cruise and holidays, we get much bigger bang for our buck because we're able to optimize our marketing right the way across our travel proposition rather than focusing on cruise marketing overhead or holidays marketing over here. So that is increasing the penetration of our marketing spend right the way across the business. The profile of marketing is slightly different this year to previous years. We focused our marketing in the current year on driving our current year bookings, and you'll see that passenger numbers in here are 13% ahead of the strong year that we had last year. What that means is as we go into the second half of this year, we'll shift our focus into marketing next year, but it does mean that the year-on-year booking profile is slightly different, which is why you're seeing that next year bookings are slightly behind where we were this time last year for the year ahead, not concerned about that. That's simply because we've rightly focused on driving this year, driving the growth into this year, which will then mean that translates into repeat business for next year and then we drive the next year's bookings in the second half of the year. So very confident in the outlook, and that's a business that's growing very well. Outside of the sort of coherent marketing approach right the way across travel, what we are also now doing is really driving up our holiday marketing, more tailored for our customers, again, by looking at all of what works and what doesn't work right the way across our holiday propositions, we can take learnings from one part of the business into the others. So I would say that in our holidays business, we've probably been a little overexposed to digital marketing and a little underexposed to analog marketing. That means that if you recognize our customer base, they tend to respond more to the white male catalog marketing than they will do to digital marketing. There's room for both, but our cruise business has got brilliant experience in doing that. The Marketing Director that was sitting across cruise is now sitting across the whole of our Travel business, bringing those learnings into the Holidays business. So we're rebalancing the spend between digital and analog, importantly. But we're also out on radio. You'll notice that insurance is now actively marketing on TV as well, that brings us a halo effect. So right the way across the board, you'll see Saga present not just in travel, but more generally, putting your head above the parapet, which I think is a real sign of where the business now is. We're coming out, we've got a strong footing, we've got our funding in place, we've got our growth trajectory ahead of us, and we're now trading the business hard and investing in that growth, and clearly, it's working. Any other questions online or should I say from Ivor? Good. All right. Any other questions in the room? Doesn't sound like there's any more online. Okay. Just to wrap up then, thank you for joining today. Look, I think we've made really good progress. You can see that we're trading well, which sets us up really well for the trajectory we're on. But really importantly, that's going to be underpinned by the delivery of our strategic actions, and we're getting on with that stuff as well, which means when we talk about those medium-term targets that we set out in April, we're even more confident here today that we'll deliver on those targets, GBP 100 million profit and less than 2x leverage by January 2030. So great fun, and we're getting it done. Thank you, everybody.